Operator: Good day, ladies and gentlemen,and welcome to the Third Quarter 2007 Double Hull Tankers Incorporated EarningsCall. My name is Shaquanna and I will be your coordinator for today. At thistime, all participants are in a listen-only mode. We will facilitate aquestion-and-answer session towards the end of this conference. (OperatorInstructions). I would now like to turn the callover to your host for today, Mr. Eirik Ubøe, Chief Financial Officer. Pleaseproceed, sir.
Eirik Ubøe: Thank you. Thank you and welcometo all the participants. Before we get started, I would just like to make thefollowing introductory remarks. This conference call is also being broadcast onour website, dhtankers.com and a replay of this conference call will beavailable on the website. In addition, our Form 6-K evidencing this newsrelease will be filed with the SEC. As a reminder, this conference callcontains forward-looking statements that are governed by the Safe Harborprovisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements,which includes statements regarding DHT's prospects, the outlook for tankermarkets in general, expectations regarding daily charter hire rates and vesselutilization, forecast of world economic activity, oil prices and oil tradingpatterns, expectations regarding seasonal fluctuations in tank demand,anticipated levels of newbuilding and scrapping and projected drydocking schedules,involve risks and uncertainties that are more fully described in our filingsmade with the SEC. Actual results may differ materially from the expectationsreflected in these forward-looking statements. And with that, I would like toturn the call over to Ole Jacob Diesen, the CEO of Double Hull Tankers.
Ole Jacob Diesen: I shall go through the businesssituation of Double Hull Tankers for the third quarter of 2007, while Eirik Ubøewill focus on financial aspect for the period. Taking that everyone has seen thepress release this morning, and I will not go through that in detail. What Iwould say is, that in general, the third quarter of 2007 was a quarter thatshow the benefits of having vessel employed on time charter, with a fixed baserate and profit sharing, which together provide for stable earnings and lessmarket exposure. Technically, the vessels haveoperated well over the period all the way. A short run down on the technicalside, the Overseas Rebecca successfully undertook the period's scheduled classinterim survey, which overall resulted in 22 days of offhire, of which ninedays relate to the third quarter. Overseas Ania,a periodic scheduled Class interim survey was planned for the third quarter, butis now being postponed and scheduled for the second quarter of 2008. Thisvessel, just like the Rebecca, is in the lightering trade and restrictedpossibility of undertaking preparatory work, the vessel's offhire period isalso expected to be above 20 days. The demand foroil transportation by sea, I should focus on, an increase in terms of tonne-mileby an estimated were close to 5% compared to 2006. Chinaremains the primary driver for the tanker demand growth, but also OECDcountries are now having a positive effect after more than a year of declining consumption. The freightmarket in the third quarter was, as I initiated, weaker than expected and belowthe third quarter of 2006. Overall, the period was affected by the restrainedcargo availability by OPEC and low refinery utilization, primarily thelatter, as a result of low refinery margins. Additionally, we are alsoexperiencing a backwardation of oil prices that led tocounter cyclical loop drawing on the inventories over the third quarter. Theaverage time charter earnings for the pools that our ships are employed in,were $34,500 per day for the VLCCs and $22,100 for the Aframax vessels. Thiscompared to the third quarter of 2006, where the rates were $64,200 and $33,000respectively. DHT currentlytime chartered all its vessels to OSG at a base rate of about $37,400 to$37,500 for the VLCCs and $24,800 and $18,800 respectively for the larger andsmaller Aframax tankers. This means that the company is provided with a steadyminimum cash flow regardless of any negative fluctuation in markets, such asthe present doldrums. In addition tothe base hire, Double Hull Tankers has an additional hire arrangement with OSG,whereby Double Hull Tankers has paid 40% of the average revenue that thevessels earn within the pools. Over and above, the base charter hire and -- theadditional hire is calculated on a four quarter rolling average and also on afleet wide basis. During thethird quarter of 2007, Double Hull Tankers has generated additional hire undera profit sharing arrangement to the extent of $2.3 million, which is about 11%of total revenue, over and above the base earnings of $17.8 million for theperiod. Concerning thefourth quarter, OSG has reported that as per October 12, the TankerInternational Pool for the VLCCs have booked 44% of its fourth quarter capacityat an average rate of $25,500 per day. At the same time, the AframaxInternational Pool has reported that they have covered 13% of its quarter capacityat $17,000 per day. Now, about 13%of the Aframax International Pool capacity for the fourth quarter is charted onthe period charter rate at $28,000 a day. Now, these rates have to be lookedupon in context with what the time charter minimum earnings that always DoubleHull Tankers is achieving from their charter with OSG, which I just mentionedabove, namely, the time charter rate of 37,500 for the VLCCs and 24,800 for thelarge Aframaxes and 18,800 for the smaller Aframaxes. Now,concerning the oil supplies, at the present level of mid 90s, this gives anincentive for increased production by the suppliers in general. And it alsogives an incentive for OPEC to release more oil, or in another words, lift ontheir -- ease up on their restrictions. Specifically,OPEC has announced that an increase in production of 500,000 barrels a day totake place on November. And at this time, it also say that China has announceda 10% increase in domestic prices to encourage increased refinery utilization,to meet the demand for transportation fuel, which it would lead to increaseddemand for importing oil through China. Despite the high oil price, the demand foroil is expected, by the analysts to continue to rise and in particularly in non-OECDcountries. While theprice level is partly a result for the supply and demand balance, it's alsoconsidered by analysts to be substantially affected by the low dollar value andfinancial trading. ConcerningChina, the consumption is about 7 million barrels a day and of this, 50% isimport. And the import is, to all, practically sent by sea. Now, if youlook at this, we mean that if China is going to increase its demand by a 10%per annum, this would result in an increase in tonne-mile associated with the trade over 20%, since the growth in demandwill be covered by transportation by sea. The strongcargo and offshore market continue to attract conventional single hull and alsosome double hull tankers. And this, we are experiencing is mitigating orexpecting to mitigate as tanker supply increases for the year 2008 to 2009. At the moment,the full effect of the so-called winter market in the fourth quarter is still tomaterialize. Well, the growth in OPEC and a non-OPEC production and a need toreplenish inventories, we expect the tank rates to rebound despite all theseasonal doldrums we are experiencing. Thenewbuilding prices remains strong with the yards and the yards are quoting deliveriesfor three year's lead time. And as a result, there is not much incentive toreduce the newbuilding prices. Now, thecontracting our ships are no longer tankers as much as there are other kind of [products].Other factors that hold up the newbuilding prices are increases in steel costsand components. And steel cost itself is representing about 20% of vessel costshave increased steadily and the cost of engines has doubled in the value overthe last three years. Now, one alsohas to look to the reduction in the value of US dollars versus the localcurrencies, to see what needs to keep the prices up for newbuildings or shipsin general. Following theannouncement in July, over the acquisition of our Suezmax tankers, to be charteredfor delivery to OSG on bareboat with profit sharing for seven years. DoubleHull Tankers has announced in September that another Suezmaxes will be acquired.These vessels also will be charted to OSG delivery. But for a ten years charter,bareboat chartered at fixed rates and it's expectedto be delivered in January or February. Theseacquisitions will provide value to investors over time without undue risk andbe accretive to the distributable cash flow. As a company,we shall continue to seek selective growth opportunities, whether in the tankersectors or even in non-tanker sectors, whether through selective acquisition ofvessels or through transactions of corporate nature. In doing so, the focuscontinues to be on creating value for our shareholders, in terms of return oninvestments and accretion to distributable cash flow. To allow forcontinued growth in the company, the company registered on October 29, a shelf, with SEC forraising up to $200 million in equity debt. Now with thisinformation, I will hand over the word to Eirik Ubøe, the company's ChiefFinancial Officer. Eirik?
Eirik Ubøe: Yes. You were lostthere for a while. I'm still on, yes. Thank you, Ole Jacob. I'll go through abrief review of the financials for Q3 and while tanker rates in Q3 were weakerthan expected, we had another strong quarter, which provided profit sharingunder our charters. Total revenues of $20.1 million for the quarter consistedof $17.8 million in base charter hire and $2.3 million additional hire underthe profit sharing arrangements with OSG. And we have now earned additionalhire each quarter since being listed on the New York Stock Exchange in October2005. Net income forthe period was $6.9 million or $0.23 per share and the Board of Directors hasdeclared a dividend of $0.37 per share, which will be paid on December 12 toshareholders of record on December 3. For thequarter, DHT's VLCCs and Aframaxes achieved average time charter equivalentrevenues in the commercial pools of 34,500 per day and 22,100 per dayrespectively, that is according to the data from the commercial pools. And the actualTCE earnings after profit sharing, calculated on a fourth quarter rollingaverage basis, that we received for the third quarter, were 41,000 per day forthe VLCCs and 25,600 per day for the Aframaxes. In the quarter,we had 267 revenue days for the VLCCs and 359 revenue days for the Aframaxtankers. And while the base charter hire rates for our vessels provide for stabilityin revenues in weak markets, the profit sharing element gives us the benefit ofsharing the strong market, that the cyclicality of the tanker market can leadto from time-to-time. For the thirdquarter, DHT's vessel expenses, including insurance costs were $4.8 million,depreciation and amortization expenses were $4.3 million and G&A expenseswere $1 million. G&A expenses include $300,000 in the one-time expensesrelated to the transactions which did not materialize. With regardsto the balance sheet, I just like to point out that DHT's balance sheetreflects that the vessels were carried over from our (inaudible) at historicalbook values. And we are comfortably within the covenants of our debt agreementwith the vessel values well above our outstanding debt. And with that,I will open up for questions.
Operator: Thank you. (OperatorInstructions). And your first question comes from the line of Jon Chappell withJP Morgan. Please proceed.
Jon Chappell - JP Morgan: Thank you. Good afternoon, guys.Eirik, first question for you has to do with the VLCC fleet. The days didn'tadd up to [492] days per ship in the third quarter. Yet, there is no mention ofany scheduled offhire in the quarter. Was there some unexpected offhire forVLCC in the third quarter, or was that just waiting time associated with theweaker market?
Eirik Ubøe: No, there were, let's see, forthe Q3, there was a little bit offhire on schedule, not much though, just forsome minor repairs. And I'm just scanning through here now. One was actually afew days, it was related to a missing of a slot, as we were delayed. So, Ithink the total offhire for the VLCCs was about nine days.Is that right? Yeah.
Jon Chappell - JP Morgan: Yes.
Eirik Ubøe: Nothing, Imean, some minor repairs and some delays.
Jon Chappell - JP Morgan: Okay.
Ole Jacob Diesen: Can I add something there, Jon,because, you said something, it was waiting for cargo. Waiting for cargo is notour cost that belongs to the charter. We have the ships on time charters and weare not suffering offhire as a result of waiting for cargo.
Jon Chappell - JP Morgan: Okay. My other question had to dowith on the cost side. Obviously, we've seen a lot of inflation in costs, youhave an agreement with OSG. How much longer are your costs fixed with OSG andwhat are you seeing in the form of insurance cost increases this year and goingforward?
Eirik Ubøe: Do you want to take that, OleJacob?
Ole Jacob Diesen: If you takethe insurance cost, I will talk about the management contract.
Eirik Ubøe: The insurancecost we had for 2007 will end up about $2.5 million and the expectations for2008 is an increase about 7%, or 6%, 7%, 8%.
Ole Jacob Diesen: With regard tothe management contract, the contract we have with OSG is for the period of thecharters, first of all. Then secondly, we can terminate employment with threemonths notice. OSG on their hand cannot terminate the agreement until earliestin October 2008 with effect from January 2009. So, that's an option they have.We have not discussed anything more with OSG, but I think that OSG as acharter, we'll have a strong interest in maintaining the managementcontract.
Jon Chappell - JP Morgan: Okay. And finally, the creditagreement with the Royal Bank of Scotland, it seems that the credit market hasbeen a little bit tighter now in the shipping world for taking a new debt.After this new credit agreement and these two new Suezmaxes, what's yourcapacity for assuming new debt that you'd feel comfortable with? Eirik, you said in your preparedremarks that you still feel comfortable with your debt-to-market value. Wherewould you put that number and then how comfortable would you feel to increaseit a little bit and how willing will the banks be, do you think, to increaseit?
Eirik Ubøe: Thedebt-to-market value now is about a little bit north of 50%, which we werecomfortable with, given our long-term contracts.
Jon Chappell - JP Morgan: After bothSuezmaxes?
Eirik Ubøe: After bothSuezmaxes, yes.
Jon Chappell - JP Morgan: Okay.
Eirik Ubøe: And then, theadditional question was, Jon.
Jon Chappell - JP Morgan: And what levelwould you be comfortable bringing it up to and how comfortable do you believethe banks are as far as giving more credit in this type of broader marketcondition?
Ole Jacob Diesen: The lastquestion there is, if I may say so, is really depending on the transaction youbring to the banks these days. So, I think it's little too hypothetical todiscuss what the banks' appetite would be. It depends again on what kind oftransactions you are providing to the bank. But as a company, we arecomfortable with a leverage of 50%, there is no problem with that.
Jon Chappell - JP Morgan: Okay. Thankyou, Eirik and Ole Jacob.
Operator: (Operator Instructions). Yournext question comes from the line of Ken Hoexter with Merrill Lynch. Please,proceed.
Ken Hoexter - Merrill Lynch: Hi. Good morning. Eirik or Ole,can you talk about the delay of the Ania for drydocking? Is that just thetiming of the slot, that the yard is available? Is there any regulatorydeadline that it has to be drydocked by?
Ole Jacob Diesen: There is a window there where youcan do this survey. And the beginning of the window was in the third quarterthis year and the window ends in the second quarter next year and it's beendecided by the technical manager to delay to take the interim survey until thesecond quarter next year. That’s all I really can tell you in this context.
Ken Hoexter - Merrill Lynch: Okay.
Ole Jacob Diesen: There is nothing dramatic, inother words, there is just a window that you -- within that period, you arefree to do it whenever the yard is available and the schedule of the ships issuitable.
Ken Hoexter - Merrill Lynch: Perfectly understood. And then,as far as the market, obviously you've acquired these or moved to acquire thesetwo Suezmax. Can you talk about howdiscussions have gone? I guess you said there was a $300,000 charge for a dealyou walked away from or can you explain that a little bit more in detail? And then, what discussions have been going lately? Have they kind ofdropped off with where prices are right now? Or do you look at this as anopportunity to be more acquisitive?
Ole Jacob Diesen: I think that, first of all, the [ship values] are holding up. And thereare not that many transactions at the moment, but the ship values are holdingup. And as I mentioned in my talk a little earlier, it's really a matter ofconstant pressure on the shipyards to deliver ships, if not for tankers thenfor other ships. So, there hasn’t been much of a weakness in the ship values. Concerning the OSG, we negotiated with OSG charters for these ships andwe are happy with a seven-year bareboat charter for the first vessel with aprofit sharing. And the second for a 10 years without profit sharing. We thinkit's good to have a little variety in the charter portfolio, if I can use thatword, probably too big a word for a fleet with only nine ships, but limitless.
Ken Hoexter - Merrill Lynch: And then, can you explain the$300,000?
Ole Jacob Diesen: Now, the $300,000 has nothing todo with OSG and the Suezmaxes. That's an entirely different kind oftransaction, but I can't say anything more about that, unfortunately.
Ken Hoexter - Merrill Lynch: Is that something that -- can youcomment --
Ole Jacob Diesen: There was a one-time cost. Therewas a one-time cost of our transaction that were materialized. But obviously,we thought it was going to materialize otherwise we wouldn't spend so much timeand cost on it.
Ken Hoexter - Merrill Lynch: Okay. And then can you talk about the kind of the activity rightnow. You said the ship values have hung in there, rates are bit down, are youactively looking in this kind of market? Do you view this as a market where youcould be acquisitive or do you say, the divergence between rates and values isjust too wide, so we kind of step to the sidelines.
Ole Jacob Diesen: We are always looking for atransaction and there are opportunities to find the right mix that can give youthe right figures between the values of the charters, just like we proved whatwe did in August and September with regard to the Suezmaxes. So, we are lookingfor the right transaction. But clearly, when the market in general is fallingand the values stay high, it's more difficult.
Ken Hoexter - Merrill Lynch: Okay. And again just to come back to the $300,000 for a second. Yousaid this was not in OSG, so there is a potential where you can expand beyondyour OSG relationship?
Ole Jacob Diesen: Yeah. We are definitely lookingto expand beyond OSG, it's nothing wrong. We have a very good relationship withOSG and we are very pleased with it. But we think that just like we’ve saidpreviously, that we would like to diversify the fleet. We also think it couldbe beneficial to diversify the charter. There is entirely freedom from OSG todo deals with us and for us to do deals with OSG. So, there is no tie-in at allin that respect.
Ken Hoexter - Merrill Lynch: And my last question is on thedividend, has any thought been discussed with you or the Board about possiblykind of shifting the payout strategy, where it would be more aligned with thebase dividends, so investors could see kind of a steady income stream and thenmaybe use the additional cash flow for further investments in growth?
Ole Jacob Diesen: The only thing I can say to thisrespect is that every quarter, we review the dividend policy and we review thedividend payment. And at the moment, we will continue to review it and wecontinue at the moment, as Eirik said, the Board has approved to pay fulldividend after this quarter.
Ken Hoexter - Merrill Lynch: Is that something that would makesense to you or do you think, as kind of one suggesting the kind of directionor do you think that the full payout makes the most sense at this time?
Ole Jacob Diesen: I think I don't want to really gointo speculation on what's going to happen in the future. But at the moment, wehave the cash flow to do this and we think that we gave the investors a goodreturn by doing it and from that respect I think it is a right thing to do.
Ken Hoexter - Merrill Lynch: Thanks for the time.
Operator: Your next question comes from theline of Natasha Boyden with Cantor. Please proceed.
Natasha Boyden - Cantor: Thank you, Operator. Goodmorning, gentlemen. I just want to kind of look at a more macro side of things.Given where taker rates are at the moment and over the last couple of quartersthey have been pretty weak, are you starting to see more scrapping of singlehulls -- are owners seeing rates slow enough to consider scrapping them?
Ole Jacob Diesen: I haven’t really followed indetail the scrapping market. But my understanding, there is more activity inconversion of ships than there is in the scrapping activity. And the benefitwith the conversion of ships is, of course, it will affect the balance betweenthe newbuilding that’s coming on and the existing ship in the fleet. Havingsaid that, we all are aware just, like you are, that come 2010, it will bemandatory to change the fleet from the double hull to the single hull tankers,unless you get special permission by the rules that can give you an extension.
Natasha Boyden - Cantor: I guess my concern with that isas far as I understand the 2010 rule, is that it's up to the individual portstate, is to whether or not that will take single hull until 2015, is thatcorrect?
Ole Jacob Diesen: That's basically correct.
Natasha Boyden - Cantor: So, essentially, we could see abifurcation of the industry, in the sense that we might see a number of singlehulls operating perhaps in the Pacific and the double hulls in the Atlantic. Would that be something you think might happen?
Ole Jacob Diesen: I think we are seeing some ofthat already, but I think what you really -- is one thing is what the rulestell, and the other thing is the commercial obsolete and I think that thecharters are, let's say, putting their favorites on the double hull tankers.And the more and more double hull tankers that come to the market, the less --what is the word I am looking for, a less impact the single hull tankers willhave. In other words, why should the charter go for single hull tankers, ifthey have plenty of double hull tankers to choose from.
Natasha Boyden - Cantor: Fair enough. I am just thinkingthat with the excess sort of capacity, even if it's not phased out, it may keeprate slow.
Ole Jacob Diesen: I think in more double hulltankers you see, I think that there is less charter than single hull tankersthat keep the market rates down.
Natasha Boyden - Cantor: Okay, great. And then in the lastweek or so, I suppose, it appears that the rate may be staging, finally thewinter rally. Do you think this is now sustainable, given the delays in the Bosphorusand some colder temperatures or another cold start, like we saw three weeksago? What's your feeling on that?
Ole Jacob Diesen: Well, I must say that in thisparticular respect, since we have all our ships in time charter, we don'treally follow the market on a weekly basis. So, we look at their view a littlebit to the longer-term.
Natasha Boyden - Cantor: Right.
Ole Jacob Diesen: We look at the market inrelationship to when we can acquire ships and et cetera. And our ships arestill on charter for several years to OSG.
Natasha Boyden - Cantor: Right. But you're going to feelsome impact from the additional hire, wouldn't you?
Ole Jacob Diesen: Sure. Absolutely. But the shipsare still on the time charter. And we are not following the commercial marketday-to-day or week-to-week.
Natasha Boyden - Cantor: Okay. Fair enough. And then tofollow up, do you have any more visibility of when in December you intend totake delivery of your Suezmax that will be acquired?
Ole Jacob Diesen: First half ofDecember.
Natasha Boyden - Cantor: The firsthalf. Okay, great. Thank you very much.
Ole Jacob Diesen: Thank you.
Operator: (OperatorInstructions). At this time, there are no further questions. I would now liketo turn the call back over to management for closing remarks.
Ole Jacob Diesen: Well, I willjust take the opportunity to thank you guys who were listening, in and thankyou for the questions. And we will terminate the conference call hereby. Thankyou.
Operator: Thank you for your participationin today's conference. This concludes the presentation. You may now disconnectand have a good day.